Operator: Good afternoon, ladies and gentlemen, and welcome to today’s Fiat Group 2012 Third Quarter Results Conference Call. For your information, today’s conference is being recorded. At this time, I would like to turn the call over to Mr. Marco Auriemma, Head of Fiat Group Investor Relations. Mr. Auriemma, please go ahead.
Marco Auriemma: Thank you, Richie. Good afternoon to you all or good morning as the case maybe. Welcome to Fiat Group webcast and conference call. Today we’ll be reviewing the third quarter 2012 results and as announced earlier, presenting the managements’ views on the European market and the broad implications on the Group’s development plans for the future. As you know, the earnings release was issued earlier today and is available together with the conference call chart set on our Investor Relations website. As usual, today’s call will be hosted by the Chief Executive, Sergio Marchionne, and by Richard Palmer, the Chief Financial Officer. After introductory remarks, on the results for the quarter and the review of our strategy going forward particularly for EMEA, we’ll be available to answer all the questions you may have. Before we begin, let me just remind you that any forward-looking statements we might be making during today’s call are subject to the risks and uncertainties mentioned within the Safe Harbor statement, included in the presentation material. As always, the call will be governed by this language. With that, I would like to turn the call over to Sergio Marchionne.
Sergio Marchionne: Good morning, good afternoon. I’m going to do the easy part this afternoon, I’m going to pass it on to Richard, he can deal with Q3 and I’m going to be dealing with what I consider to be probably the most problematic part of the presentation today which is our views on Europe and how Fiat, Chrysler intend to respond to the challenges that the market is presenting. But I think the easy part for the third quarter is that the quarter came in totally in line with expectations that there were no nasty surprises and I think the important think is that we’ve been able to confirm guidance all over Europe 2012 and so hopefully Richard will be able to get away this landscape, until we get to the sort of medium issue of what we do with Europe. Richard?
Richard K. Palmer: Thank you very much, Mr. Marchionne. Good afternoon and good morning to everybody. Q3 Group financial results came in consistent with year-to-date performance and we’ll look at them in the following pages. Worldwide shipments for mass-market brands were more than 1 million units, up 11% taking year-to-date up shipments to 3.1 million units. In September, Fiat brought the declaratory debt judgment in the Delaware Chancery Court to confirm the price to be paid for the 3.3% of Chrysler Group equity to be delivered by the VEBA, in accordance with the call option agreement. And although it’s difficult to predict the timing of this matter given the involvement of the court. We hope the legal proceedings will conclude by the end of the year. upon completion of the purchase, Fiat will hold 61.8% of the outstanding equity in Chrysler. On page four, Group revenues in the quarter were up 16% over the prior year to over €20 billion, many thanks to the performance in NAFTA, APAC and LATAM. Luxury and Performance brands were up 4%, with Components substantially in line with last year. Trading profit totaled €951 million for the quarter, up 12% versus last year with margins of 4.7%. NAFTA contributed for €660 million, LATAM for €341 million and APAC for €73 million, more than offsetting the loss in EMEA of €238 million, which was due to the impact of continued reduced volumes and negative pricing pressure, only partially mitigated by cost containment actions. Luxury and Performance brands, trading profits were €89 million, while Components totaled €39 million. EBIT was €880 million for the quarter of which €664 million in NAFTA and €310 million in LATAM, with €74 in APAC. EMEA instead reported a €219 million loss compared to a €136 million loss in Q3 2011. Excluding unusuals, the loss in the region was €195 million compared to a loss of €76 million in the prior year. Net profit more than doubled from the Q3 2011 levels, and came in at €286 million after income taxes, €195 million. Profit attributable to owners of the parent amounted to €39 million, post it was doing at €85 million versus last year. Ex-unusuals net profit for the quarter was €362 million. Net industrial debt at quarter-end was €6.7 billion due to the seasonal cash absorption in Fiat excluding Chrysler accentuated by market conditions in Europe, slightly positive contribution from Chrysler despite summer seasonality and significant CapEx. Total Group available liquidity inclusive of €3 billion of undrawn committed credit lines was reduced primarily reflecting negative cash flow from operations and €1.3 billion of gross debt reduction together with negative exchange of €0.4 billion. Cash reduction at Chrysler was due to the annual payment of accrued interest on the VEBA note. Moving to the next slide, we can see how the top-line reflects continued strong growth in NAFTA, APAC and LATAM while EMEA was down 13% due to continued demand declines. Group EBIT was up 6.7% driven by strong regional performance of NAFTA, 65% up and APAC three times higher than prior year. LATAM was down versus prior year, but volumes and margins improved from the first half. EBIT ex-unusuals in EMEA was down €119 million year-over-year due to the continued worsening of trading conditions in the region. Moving to slide 6, in term of the P&L items of the low trading profit, the net financial expenses for the quarter were €399 million, which include a small gain in the mark-to-market of the Fiat’s stock option related equity swaps. This compares to €543 million in 2011, which included a €138 million loss from the same equity swaps. Income taxes primarily related to taxable income of companies operating outside Italy and employment related taxes in Italy. Moving to page 7, you can see the 16% increase in revenue for the group. As discussed before, the majority came from NAFTA, together with APAC and LATAM more than offsetting the decline in EMEA. Positive topline performance from Ferrari and Maserati, was mainly driven by North American growth. Group trading profit was up 12% with strong performance in NAFTA and APAC which more than compensated for declines in EMEA and LATAM. Luxury and Performance brands were up 2%, while Components were down 34% due to the worsening trading conditions in Europe. On slide 8, the change in net industrial debt was negative 1.3 billion in the quarter, bringing Group net industrial EBIT to €6.7 billion. Not withstanding high CapEx levels and traditionally negative seasonality, Chrysler contributed positively for €0.1 billion to the change in net industrial EBIT. The cash absorption for Fiat ex Chrysler of €1.4 billion was inline with the same period of the previous year driven by seasonally negative working capital of €0.8 billion typical of the third quarter and CapEx spending which exceeded EBITDA and interest and taxes. Page 9, deals with the debt maturity profile for both Fiat ex Chrysler and Chrysler with the latter having no major maturities due prior to 2017. Fiat opportunistically tapped capital markets with a €600 million bond issued in July to ensure appropriate cadence of future maturities and continues the new process of credit facilities with a large number of institutions. And is worth noting that the debt maturity profiles for Fiat ex Chrysler included in the other line €1.3 billion of self liquidating and automatically rolled-over positions related to dealer floor plan financing in Brazil. Page 10 deals with a detail view of €2.7 billion cash reduction over the past three months. The €1 billion reduction relates to operating needs with seasonal cash absorption from industrial activities only partially offset by lower funding of financial services. Net repayment of debt positions accounted for €1.4 billion and particularly in the court Fiat issued a new bond for €0.6 billion, with an outflow of €1.3 billion related to the bond repayments maturities. The remaining debt outflow occurred from slight reduction of bank and other debts and asset backed financing along with the payment of interest accrued on bonds and VEBA notes totaling €0.4 billion. Finally the change in FX rates used to convert at period end, the non-Euro denominated cash positions in particularly the Chrysler U.S. denominated liquidity, accounted for 0.3 billion of nominal consolidated cash reduction. Moving on to slide 11, deals with the results obtained on production capacity and the continuous implementation of cost containment actions. The Group continues to maintain a rigorous alignment of production and market demand through industrial flexibility. In NAFTA, we were introduced by year-end, 3-crew operations in Belvidere and Jefferson North assembly plants. We also increased daily rates at Windsor, Saltillo Truck and other plants and enhanced efficiency and reduced downtime at Toluca and stamping plants. In LATAM, we are consistently utilizing all flexibility measures including extra overtime and holidays to maximize output and respond swiftly to market needs. Moving to page 13, we can start to review the performance by regions. NAFTA continued its strong performance. Revenues were up 38% or 22% at constant exchange due to higher vehicle volumes up 23%, of which 29% in the U.S. Canada was down mainly due lower Ram shipments due to the product change of the light duty pickup. Mexico was up 28%. Trading profit was up 67% or 47% at constant exchange, thanks to volume and new pricing gains, partially offset by high industrial costs and advertising to support growth. Trading margin increased 100 basis points to 6.1%. Group vehicles sales were up 12% to 504,000 units reflecting a 13% increase in U.S. sales where cars rose by 22% and trucks by 9%. In U.S. and Canada all brands are up with most recording double digit increases. Inventory levels were stable with prior period end with 65 days of supply U.S. dealerships at the end of September. On page 14, we have the walk of the EBIT from prior to Q3 2012 showing the €261 million increase in EBIT for the quarter. The improvement was driven by the impact of volumes up 95,000 vehicles partially offset by unfavorable mix due to higher growth in car sales versus trucks and SUVs as mentioned before. The positive net pricing impact of €128 million reflects pricing actions started in late 2011 and continued through the first half of 2012. Industrial costs were impacted by manufacturing inefficiencies due to production at capacity limits at a number of plants, partially offset by purchasing efficiencies. SG&A spend increased due to higher advertising costs. Turning to page 15, U.S. industry was up 14% versus prior year, with cars up 22% and trucks up 7%. Chrysler sales were up 13% with September being the 30th consecutive month of the year-over-year sales gain. Q3 mass-market share was consistent with the prior year, and the fleet mix decreased to 24% versus 26% in the prior year. In Canada, the industry was up 6% with Chrysler sales up 5%, driven in particular by sales increases of the Chrysler 200 and 300 models. Moving on to page 16, LATAM is experiencing good trading conditions, particularly in Brazil where the Government stimulus measures, which have been confirmed to remain in place until year-end boosted sales. Revenues were up 4% or 10% at constant exchange, driven by high volumes while trading profit declined by €56 million mainly due to increased depreciation for the new product launches, cost inflation and currency exchange impacts. In the quarter, Group’s shipments were up 14% with Brazil up 23%, 243,000 units, Argentina down 33%, and other LATAM markets down 8%. Group sales outpace the strong market; consolidating our market leadership with 24.3% share in Brazil, 230 basis point share gain over last year. Jeep and RAM brands experienced a strong performance, posting 90% and 25% increases respectively. Company and dealer inventory levels at quarter-end are steady and at adequate levels to support strong sales trend expected in Q4. Slide 17 shows the earnings walk for LATAM. high volumes of 35,000 units that mainly driven by the Brazilian market and product mix contributed for the €68 million improvement, pricing impact was flat although we are seeing some improvement in pricing compared to the first half of this year. Industrial costs rose due to cost inflation and higher depreciation, partially offset by manufacturing efficiencies. The other items are due to FX impacts. Page 18, shows the market trend for LATAM. Group sales outpace the strong market in Brazil, consolidating leadership with 24.3% share, showing the effectiveness of the company’s prompt reaction to the increased demand. In Argentina, the decline in market share was mainly attributable to reduced availability of products due to custom delays for imported vehicles. At the end of September, the Brazilian Government approved the so-called Inovar Auto Program to foster the long-term development of the domestic car industry through subsidized incentive programs tied to energy efficiency, investment in R&D and the engineering as well as domestic production. Under this program, valid from 2013 to 2017, there will be an IPI rate increase of 30% for all vehicles, but it’s a locally manufactured and imported, being partially or fully neutralized through various IPI credits, which are earnable by meeting certain conditions such as local manufacturing activities of at least 80%, energy efficiency, minimal level of local R&D and engineering expenditures to name the most important. Being the number one local producer, the Fiat Group is well positioned to participate in and fully benefit from this program. Slide 19 deals with the market trend and business dynamics in APAC, and the region enjoyed stable market conditions in the quarter with demand increasing in most of the Group’s key markets. Revenues were up 39% or 24% at constant exchange, mainly driven by the Jeep brand, which represent 70% of total revenue. Trading profit was up almost two times, primarily driven by volume and some favorable FX impacts. Trading margin increased 260 basis points to 8.8%. EBIT was nearly four times last year level, also benefiting from an improved contribution from the India JV. The retail sales including joint ventures were up 11% on the back of strong performance of Alfa Romeo and Jeep brands, with the latter almost doubling versus last year. Alfa Romeo sales were up 155% in Japan. The quarter saw a strong comeback of the Chrysler brand with sales up 160% of the all-new Chrysler 300C is being re-launched in China and Australia. The newly formed India Distribution Company formed to take over distribution activities in the Indian market is on track to begin operations in 2013. Moving to page 20, EBIT in APAC improved from 20 last year to €74 million year, thanks to the positive impact from volume and mix and better pricing is more than compensated for higher industrial costs and higher selling expenses to support new sales initiatives and drive growth in the region. Results from investments were also up and FX had a favorable impact in the quarter. Page 21, a focus on the APAC market and the Group’s performance showed sales including JVs were up 11% in line with the industry, driven by strong performance in most of the key markets. In China, Jeep showed a robust performance again up 114%, driving Group sales up 18% compared to an industry up 10%. The Group continued gaining market share in Australia with sales up over 40% against an 8% increase in the overall market, driven by twofold growth of Jeep and the re-launch of the Chrysler 300. In particular, Grand Cherokee sales were up 85% gaining 360 basis points of share in the full-size SUV segment. in Japan, the Group sales were up 20%, outperforming industry and led by Alfa Romeo and Jeep, up 150% and 36% respectively. Sales were up 21% in South Korea, driven by Jeep and Chrysler despite the industry contracting by 6%. Moving on to EMEA on page 22, the region continues to be negatively impacted by increasingly difficult trading conditions, both passenger car and LCV segments were historical lows in Europe, and are affected by persisting negative price pressure, particularly in the middle of the market. Revenues were down 13% mainly reflecting volume declines and the trading loss doubled versus prior year. Industrial efficiencies, world-class manufacturing benefits and cost containment actions were unable to offset the negative volume and price effects. We are targeting to limit the regional losses in EMEA to about €700 million. Total passenger car and LCV shipments were down about 15% mostly attributable to Italy, down 24,000 units followed by France and Germany. In particular, EMEA passenger cars were down 17% to 159,000 units, and LCVs down 9% to 44,000 units. The earnings walk on page 23 shows the effects of the lower volume and price pressure, in part offset by SG&A, taking total EBIT to €195 million loss. Slide 24 deals with the passenger car segment in Europe. the industry was down 9% posting the fourth quarterly consecutive drop with declines in nearly all major markets, a double digit slump in demand was experienced in Italy, France and Spain while Germany posted its first quarter of market decline in 2012. In fact, UK was the only major market to run counter to the trend with a 7% year-over-year increase. Group sales were down 17% to 167,000 cars representing a 60 basis point decrease in Group share; almost entirely attributable to unfavorable market mix, Italy’s weight on European total is now less than 10% of the total market. In Italy, market demand was down 23%, marking the worst Q3 performance since 1976. The Group share gain of 20 basis points reflected positive performance in A- and C- segments and strengthening of leadership in alternative fuel vehicles. Page 25 focuses on LCV segment performance in the EU27 and EFTA area. The market was down 10% in Q3 with significant drops in demand in Italy. Fiat professional brand sales were 9,000 units lower than a year ago at 39,000 units. Market share in Europe was down about 100 basis points mostly attributable to unfavorable market mix. In fact, brand share was unchanged to 8.9% in Europe ex Italy. Share loss in Italy was a result of tough comps with Q3 ‘11, which benefited from significant fleet renewal activity. Ducato continued its strong performance in Europe, gaining 70 basis points of share in its category. Moving on to page 26, it deals with the Luxury and Performance brands, Ferrari revenues were up 6% to €556 million on the back of high volumes, more favorable sales mix and strong results from the customization program. In the quarter, 1,600 street cars were shipped, up 2% and driven primarily by sales of Spider and FF vehicles. Volumes in North America were up 18%. In EMEA, higher volumes in the UK were offset by declines in other markets in the region. Trading profit was €81 million, a 5% improvement, and margins remained strong at 14.6%. Maserati revenues increased to €148 million with shipments slightly decreased to 1,400 units. trading profit was €8 million with a margin of 5.4% and in line with prior year. The components businesses are dealt with on slide 27. revenues at Magneti Marelli were up 4% with lighting up 18% and electronic systems up 35%. All remaining businesses lines recorded revenue decreases. trading profit was down €14 million, as lower volumes in Europe and costs associated with production started in the NAFTA region, were only partially offset by cost containment measures and efficiency gains. Teksid posted revenues of €183 million, down 20% over the same period in ‘11. Lower volume for the cast iron business units were partially offset by a 10% increase for the aluminum business. Trading profit totaled €1 million compared to €12 million for the same quarter in 2011. Comau recorded revenues of €358 million, a 4% decrease over the prior year. Order intake for the period totaled €374 million representing a nearly 50% increase over Q3 2011. Trading profit was €9 million for the quarter, up from €4 million for Q3 2011, primarily due to improved performance from Body Welding operations. Moving on to page 29, talk about some product intros by regions starting with NAFTA, the all-new Dodge Dart began sales in Q3 through a stage launch progressively introducing the different powertrain combinations. In September, the all-new Aero version, the most parsimonious model of the Dart offerings with a fuel economy of 41 miles on the highway, started production and will arrive in dealership shortly. Production ramp up and sales rates for the Dart are fully on track with plan with more than 28,000 units produced in the quarter. And October dealer orders exceeded planned production by over 8,000 vehicles. The new RAM 1500 pickup is arriving at dealerships now. It’s the best in class truck for fuel economy equipped with the Pentastar 3.6L V6 and segment exclusive 8-speed transmission. Moving to LATAM on page 30, in July the Fiat brand launched the New Punto in Brazil and Dodge launched the whole new 2013 Dart in Puerto Rico. In August, Fiat launched the Sunroof options for the Novo Palio and Grand Siena making the third automaker in Brazil to offer a factory installed sunroof in the B-sedan segment. Slide 31, deals with OpEx with a particular focus on China. The return of the Chrysler brand to China started earlier this year, is continuing with the introduction of second product in the brand line up, the whole new 2013 Grand Voyager, which will be in dealerships from Q4. The Fiat Viaggio was officially launched in September producing the JV with the GAC and based on the Group’s compact architecture it’s our first locally produced vehicle for the competitive Chinese C-segment. The Viaggio is best in class for fuel economy and roominess, Euro V compliant and awarded five stars in China NCAP. The dealer expansion is ongoing with more than 20 dealerships added by year-end. Moving to EMEA on slide 32, Fiat launched the new 500L in September with a very good acceptance in the market. In fact preorders for the opening addition exceeded 1.5 times plant volume. The rollout over Europe will continue through Q1 2013 also expanding the powertrain offerings. During 2013, the vehicle will go on sale in more than 100 countries worldwide, including the United States. The vehicle is produced in sale in Serbia in the Kragujevac plant. The new Panda is now featuring the widest range in its segment with four new additions to the line up. The 4x4, the Trekking, and the eco friendly models namely the Natural Power and the EasyPower. On page 33, we outlined our expectations for 2012 for the different regions. In NAFTA, NAFTA continued growth through Q3 with U.S. increasing 15% year-to-date. We expect the U.S. market to be about $14 million units for the year, while in Canada the year-to-date industry growth is 7%, underpins the solid full year performance. We revised slightly up with the market outlook for the LATAM region, mainly driven by improved prospects for the sector in Brazil, due to the additional liquidity, lower interest rates and IPI tax cuts. We expect to drive the Brazilian market to mid-single digit growth for the year. In APAC, full year demand is expected to be nearly 13% up driven by double digit growth in most of the Group’s key market with a slight contraction in South Korea. In EMEA the persisting weak economic climate in Euro zone will lead to the fifth consecutive year-over-year decline in the market, Italy is projected to be the lowest level since the late ‘70s. As far as LCV’s are concerned, the industry is expected to be down around 10%, with Italy down 30%. Moving on to page 34, worldwide shipments mass-market car brands were in excess of 3.1 million for the first nine months of this year, with NAFTA up 19%, APAC up 40% and LATAM up 3%, more than compensating for the 16% decline in EMEA. The (inaudible) year-to-date performance confirms the full year shipments target of around 4.2 million units. Page 35, deals with our earnings guidance, we confirmed guidance at the low end of the range with net industrial debt expected to improve from the €6.7 billion level at the end of September to around €6.5 billion. With that I’ll hand the call back to Marco.
Marco Auriemma: I’ll take it over. (Inaudible) If I can just deal with the second part of the pitch today, which has to do with our views about Europe and how the Fiat Chrysler group intends to deal with the issues that have been raised as Richard has referred to as being sort of substantial market decline especially in Southern Europe. I’m going to start off with page 3, which is as much of – I think it provides some context with the discussion that we’re having, a lot of notes and a lot of comments have been made, about how well Fiat has performed in the last couple of years. I think we need to go back to what we saw in 2010 and what we had set for ourselves as target. And I think to be peripherally honest, the entry into Chrysler, the recovery of Chrysler and what Chrysler has been able to achieve has allowed us to make the numbers on a combined basis as we had originally foreseen, in fact when you see on the right hand side, the slide of the targets that we set for ourselves for 2010 and 2011 had been met. So, and that was done with a number of things being done concurrently, the creation of single management structure to manage Fiat Chrysler, a phenomenal amount of work that has been done in providing platform convergence across the two organizations, we were able to repay the government loans. We have become totally independent of any obligations to the U.S. and Canadian governments. We worked diligently on the re-launch of the Maserati brand. We’ve made sure that we started sort of transferring engine know-how between the two organizations. We’ve industrialized a small four cylinder engine in the United States. We have been able to leverage all the work that’s gone on in the United States in terms of the new engine family of V6s. We started working finally attacking the APAC market which has been sort of incredibly elusive for Fiat in the past, but I think the new organization is allowing us to starting to look at the market in which we had referenced to the launch of the Viaggio and our continuing efforts to find the line which we can begin to industrialize some of our brands in that country. And effectively benefit from what we consider to be phenomenal growth opportunities that are coming forward. The end of the story is that we are no longer sort of a marginal player, and we started this process back in 2009 through this jointed organizations. We now face the future together as a 4 million plus vehicle producer. And I think the opportunities that are available for the combined groups now, our opportunities that neither one of us are known, would have been able to extract. And I think, it gave us the kind of work that’s going on and the platforms in which we’re working, today gave us an opportunity to look at the market and sort of resolution of the European issue, in that way Fiat alone could have never done. If you can get to page four which deals with the way in which our – I guess in some ways the original forecast that we had about market development have actually turned out. Couple of comments, I think we were unduly pessimistic about NAFTA, NAFTA has out performed our expectations. I think we were sufficiently prudent back in 2009 given the fact that we were coming out of a very painful 363 process in accessing market growth opportunities and I think in so doing we, we properly I think tooled ourselves to make sure that we could deal with the market which has ended up being effectively higher than we’ve originally forecast. LATAM, I think that we were slightly driving over our expectations. I think that we have seen the market in Latin America in 2011 and 2012, performed and so one of the even way I think the latest round of interventions, but the Brazilian government has given us a lot of comfort at the path that was established for us back in 2010, is in fact achievable. I think the 2014 number that we have in mind were about 4.5 million cars for Brazil may have been excessive, but I think we are restoring and retooling our forecasts in a way that will allow us to eventually get to a decent number, but I think it will take us a touch longer to get to that level of development. The real problem for us obviously has been Europe and when we put our plans together back in 2010, we had forecast a recovery of the European market to precrisis levels and then sunglow thereafter. In the so called decline for a lack of a better word of European market was something that realistically could not be foreseen. It doesn’t mean that the issues that confronted European tire markers to be ignored, but it certainly this drop in volumes which we’re seeing today, we’re looking at numbers for 2012 of 14.1 million cars, against an original forecast of 16.5 million. So a very large gap between what we saw in 2010 and what we’re experiencing today. And our forecast for next year which is an equally important observation is that we see the market coming down further as we find the true bottom of this market before some level of economic activity brings demand back. If you can go back to page 5, one of the things that we have been able to do in the other two markets, the really at the heart of our development as we begin to gear up for involvement in Asia, NAFTA and Brazil have been at the heart of our earnings capabilities and our earnings performance, they are at the heart of the third quarter and effectively they are at the heart of the whole 2012 and possibly 2013 forecasts. One of the things that we have been able to do and if you can look at the charts on page 5, on the North American, these are the traditional slides that we present from time to time which have to do with the Harbor definition of capacity utilization and the technical definition which is a more stringent and more aggressive metric whereby we try and estimate utilization of our plants. You can see that we started in 2010 with Harbor definition of roughly 73%. We are running the plants now in excess of the 100% harbor number, and that’s simply because of the fact that if you look at the bottom of that slide, we are able to go from €1.6 million to €2.4 million cars by not only relying on efficiency gain and line speed increases, but by adding on additional shifts and effectively getting our people to work during traditional periods of shutdown whether it’d be summer holidays or traditional holiday periods, and we have had an incredibly strong response from a workforce they have been totally committed and joined with management in achieving these numbers and we need to be forever thankful for what they’ve done. And a similar behavior has been observed in Brazil where we have been running these plans at over 100% harbor capacity utilization. now for a number of years and whenever, we have asked them to give more because market demand was there they have delivered. And if you move on to slide six, we start seeing a completely different picture, which is really an indication of the nature of the problem that we’re facing and we can dispute this to, we can have differences in the numbers between our selves and the rest of the mass producers in Europe. but this level of underutilization is a consistent theme across mass car producers in Europe. And so five years in a row, 2012 is going to be the fifth year running of volume declines in Europe, we are down 20% from the peak, €12.5 million, Italian market itself was 40% down, more than 40% down against the 2007 peak, and this is due to a variety of things that were in placed at the time, vehicle incentives and a variety of other inducements, which effectively ended up European demand beyond its natural shape. The more concerning thing to us is also the performance of light commercial vehicle business, which has been the heart of our profitability in Europe, which is you’ve seen gone down by more than 30% from the peak of 2007. All of this is obviously brought, which is sort of traditional economics that phenomenal amount of pricing pressure on all of us. And to add in softer injury, we have not decided to embark sort of free trade agreements, (inaudible) we just signed one with Korea, both Fiat and I think in its totality were against and opposed for a long period of time. we were unsuccessful in stopping the signing of the FTA. Hopefully we’re going to be in the slightly more successful in connection with the Japanese and the Indian FTAs which are being considerably commissioned today. When you stand back from all this, one of the things that we have noticed is that our market has become bipolar, and it is not psychiatric assessment to market performance but it has become bipolar, where you have ended up segregating the world into two parts fundamentally and there is the so-called premium brands, which have been able to maintain some level of pricing power. And then there is everybody else, and in that everybody else is a very large pool, a people who are desperately trying to find a space in the marketplace for their volumes and they sacrifice, they’ll also try and to get that done including sacrificing the integrity of their brand equities in some cases. We are not immune to this, I am not telling you that we are sort of above the fray on this, but certainly it’s tested our width to the end. And I think that we have begun to see a series of coordinative responses and coordinative responses that a crisis by having people like Ford and Peugeot -Citroen announcing plant closures that try and reduce their capacity and effectively restore some level of sense in the type of charts that you see on the right, on page 6. We’re now running a 45% technical capacity in the European context. This includes JVs and includes the joint-venture that we have in Turkey, it includes our operations in Poland. And I didn’t do it intentionally; I did not strip out those plans from the calculation, but if were to strip the math and look at the pure Italian side, obviously the situation is worse. The problem that we all face is that as optimistic as we all want to be. it’s very difficult to get an intelligent level of visibility about the future. And so to the extent of structural overcapacity overhangs the market for any extended period of time. I think it’s reasonable to assume that we will not see any substantial price recovery at least in the short-term, which is one of the reasons that this is not intended to provide a serious arguments in defense of the position that Fiat has taken over the last two years of not investing. But it’s certainly in hindsight it’s proved that to be a wise choice, because launching this market and we are seeing this now, we’ve tested the waters with the introduction of the Panda, that having spent more than €800 million in industrializing that project. We now have a plant that runs on and off, and it certainly not achieving its full potential, because of the lack of demand in the marketplace, has done a reflection in the car, which I think is probably the best vehicle that has ever been produced by this group. And we keep on improving the quality what we produce every time we launch, but it is the best quality that, the product that we have. It is certainly being produced the day in the plant, which is being recognized by others as an example of industrial efficiencies. So when you take out this, you take the level of intrusion, and to the running of our business that is being offered by regulation especially on the emission side, you realize that this has become truly a very difficult business to run and where I think forecast of profitability becoming incredibly tenuous and really hard to sustain that. If you can move on to page 7, I’m not going to spend much time with the pluses, I think it’s true that the strength of Fiat historically has been in the light commercial vehicles. we have been able to sort of position our A segment cars property both the Panda and the Fiat I think are unique examples of how to execute a project well in the small car segment. we continue to hold for the five years, now for five years in a row, our leadership in CO2 emission, we do have the lowest CO2 emission fleet of any other European car manufacturers. And obviously, we have in the midst of our portfolio; we have at least three brands, which are capable of being viewed as premium if not at the very high-end of the higher offering world. I think, it doesn’t take much to sort of highlight or single our Ferrari is being an example of how to run the premium car brand. But it is in a unique space in the car market, it’s impossible to duplicate, I think honestly, what has been achieved at Ferrari, but we do have two other brands, both of which are, have been historically underdeveloped. we have started a process of industrializing Maserati in the last two years. I think a good start was provided by Ferrari back in 2002 when they worked on a new corporate prospect. I think the cars that were about to ready to launch now in January of 2013 is a significant step forward from where we were and I think we will have two cars coming out under the Maserati batch in 2013, which will begin the process of re-establishing Maserati as a premium sports car brand. The important thing that we did and I think that this is the key issues that we conserve cash in the period of 2008, 2012. So we were incredibly prudent, very fugal on capital during that period of time, and that allowed us to effectively survive the storm and start looking at 2012 and ‘13 with some ability to access our liquidity and to start rebuilding the future. Now that the worst of the storm is over. On the negative side, I think this is almost quite, but the fact that we have historically been able only to access successfully the A and B segment, it is probably one of the biggest limitations that Fiat on its own had prior to the association with Chrysler. every time we tried to leverage ourselves into the C and higher segments for the brands, I think it was very, very unsuccessful attempt. And I think we’ve learned the hard way that perhaps having single intrusion in these markets without really having architectural integrity and without having the wherewithal to access the much larger volume base to get it done, should be a border to our accounts, and I think that one of the things you will see now, it’s an issue that has been remedied, because of our association with Chrysler where the largest portion of the volumes the Chrysler is currently producing are 2.4 million cars. It is effectively in C and higher segments. so they’ve been able to complement the other side of Fiat that was saying the fact that we endowed Chrysler itself with the architecture, which is at the heart of the doctors, it’s going to be the heart of the Liberty Success that we launched in the second quarter of 2013. We were able to technically endow Chrysler with the architecture and we have never been historically capable of leveraging those architectures, so the farthest, because it was not in the DNA of the house. We still have a lot of work to do with dealers, and obviously, as I said earlier, the Alfa Romeo brand, which I think probably holds the biggest potential for us in terms of volume ambitions has never been able – we have never been able to industrialize it intelligently, because of the lack of base volumes and the base volumes now are available as a result for the association with Chrysler. I’m going to spend a little bit time on slide eight, and this is fundamentally all those things on that slide are true statements of fact. I think we have made significant inroads both in terms of engines and transmissions, to support the combined group what I considered to be the leading edge positions. we continue to work away at improving the combustion cycle, I think there’s a lot of work that needs to be done still. but I think that when you look at the offerings that we have in the marketplace in U.S. and in Europe. I think that we have nothing to be ashamed of; although I think that to do this remains relatively large. Most of you know that we are the leading European producer of natural gas powered vehicles. we have developed some very, very viable technology in terms of dealing with alterative fuels as our success in Brazil have indicated with for fuel cars. And so when you get to page 9, and you have gone through this sort of thorough analysis and we had spent the last few months by the way tearing ourselves, just a minute to make sure that we can actually get to the stage and start dealing with page nine intelligently, because the palm tree is large and it wasn't an easy process to get here. It's been agonized over and it's been thought through very carefully but not just me, but a number of people from the leadership team who have taken this issue has been the single largest issue that the Fiat Chrysler needs to put to bed in the next few years. And so the choices are not really complicated and, we could have taken a traditional route by saying this is a market, which is over saturated we need to close one or two plants and we're going to bring ourselves down to a level of capacity that we can satisfy, but effectively and so doing we would have probably shut down after sized and when you look at the reason why we have chosen the second option, these are sort of very obvious you don’t have to get the harbor figure, we do have installed up to the capacity that's available in EMEA. And I have strangely enough very little capacity left anywhere else in the global system. And we are now as you’re seeing from the NAFTA numbers we're running at over 100% harbor definition, capacity utilization of our NAFTA plants, on a combined basis. We are flat-out in Latin America not that the current barrier environment, the tariff environment would allow us to come in and come out of Brazil easily, but we have no capacity left in the system. And so the real issue is, if we're going to satisfy where we consider to be global demand for the collection of our brands, we would have add to spend money to get this done somewhere around the world. And so, we went the other step and I said this is absolutely wonderful, but we know how to do this, we need to have some brands that got margin potential inherent in their product offering that would allow us to deal with any type of dislocation on the cost side is associated from a location production. That would act as sort of an international distribution hub. And we have at least three brands that are capable of competing in the higher margin business, and we’ve included Jeep in this brand, in line-up and the reason to include a Jeep is at least some portion of that market that has got margin capability beyond the traditional mass-market offering. The other thing that made us comfortable in getting to the second choice is that we have spent the last three years reinforcing our know-how and reinforcing our knowledge of the available architecture. We have simplified our world with the exceptional light commercial vehicles obviously in the pickup truck side, which run on their own architectures and their own world fundamentally, the passenger car including SUVs and CUVs, the effect of the share three architectures and they’re going to be running 80% of the volume of the Fiat-Chrysler world going forward. The other thing that changed for us with Chrysler in 2009 is that, all of the sudden, we ended up having access to NAFTA distribution network; we have over 2,300 dealers in the United States. Not all of them would be able to – obviously they participate in the development of the three global brands that we have, but certainly a large portion of them are business people who will be able to assist and participate in our global development to Alfa Romeo and Maserati. The point that I make at the bottom of the slide is that – is prudent and belong that the statement is we have to stop chasing our own tail in EMEA. The problem with sort of circular reduction of the capacity is that eventually we – unless it is done in a sort of very structured way as it was done in the U.S. back in 2008 and 2009, this process is bound to create phenomenal dislocations in Europe, and certainly, in the case of Fiat, would have been, would have relegated us to be a minor player in the European market, because of the social consequences associated with the recession. So when you get to Slide 10, it tells you a very sort of short language, what the strategy going forward is. I will begin with the third bullet, I mean, we’re going to focus on Alfa Romeo and Maserati to access to higher end of what we considered to be a permanently bi-polar market now. The Fiat 500 and the Panda are going to become pillar vehicles. these are fundamentally brands within the brand. We’re known since the launch of the Fiat 500 that it was a brand within the brand because of the success that it had. And we need to be able to leverage that – the brand within the brand concept; we effectively purify Fiat to ultimately will end up being us having a set of products in Europe and in the United States, which are other 500 derivatives or in some ways the Panda expansions. It is easier for us to envision a set of 500 expansions than it is for Panda, but when you look at the introduction of the Fremont in Europe although the fact that, it doesn’t appear to have come from the same family directionally it is the kind of the vehicle that could fit within that pillar. I think we also need to be honest with ourselves about the fact that Lancia as a brand that has got very limited preview. We have toyed with Lancia for a number of years; I think we need to recognize that the only viable car that Lancia has been able to produce now historically certainly on my watch has been the Lancia Ypsilon that’s the one that’s economically viable. And I think we need to recognize that fact to move it on. So whatever else is associated with Lancia will be purely as a result of the intervention of Chrysler in the United States that will complete the brand, but I think we need to stop having illusions that we can re-create the Lancia that once was. The clock is fast and I think that we need to deal with the reality in this marketplace and move it on. We need to put back the Ypsilon because I think it’s certainly a significant player in the Italian market and economically it has been at least given the alternative that it has been a rewarding choice.
 : And obviously, this keen emphasis and keen interest that we have in LCVs need to be nurtured. So we need to do everything that we can to support our involvement with the Ducato. Ducato as you all know is now being industrialized in North America together with a version of Doblo will become an integral part of the offering in the United States, we need to continue to get better at this and we de-leverage our light commercial vehicle expertise on a global scale. The objectives of this relatively simple set of strategies is to ultimately fully utilize the EMEA production base, so that we can develop our global brands, Alfa Romeo, Maserati, Jeep and the Fiat 500 family. This is – I don’t call the Fiat 500 family a premium brand, but I think it can be distinctive enough in the mass-market to isolate itself from the traditional competition. But I think we need to learn how to build our future of these global brands and effectively access the EMEA production capabilities to satisfy the product development side of this. And so well, let’s says that we’re going to shift a significant portion of the product portfolio towards higher margin opportunities that totally in relation to the Alfa Romeo and the Maserati brands with some potential for Jeep to play in that area. We can move to Slide 11. Slide 11 is as detailed as we’re going to get up our product offering. We’re having a lot of internal discussions as to whether that should provide a higher level of granularity in terms of product offering and product launches. And because of the phenomenal amount of consternation that has been caused after we launched Fabbrica Italia back in 2000 and the inability of the system to react to our reaction to degrading demand function and the fact that that project that effectively have to be shelved because of change in market conditions, we have decided to follow what our competitors have done historically which is not to provide a lot of details and effectively execute on the development plans as they saw a fit. The chart on Page 11 effectively segregates by start of production base. A series of launches and being the legend is relatively clear, but it says these are the kind of products that will be coming down the pipe. The ones with an Italian flag are the ones that are going to be produced within the Italian context. And what they do at the end of the day is going to end up providing portfolio utilization of our blue-collar and white-collar force by 2015 and effectively deals with the issue of our European overhang. This says very clearly that as a result of all this, we will no longer have underutilized capacities in Europe. That doesn’t mean by the way that some of these plants will be operating a below sort of nameplate capacity because of the way in which we calculate the nameplate capacity is in terms of standard jobs of hours and the extend that we move towards the higher margin business, the numbers of hours associated with production of these vehicles increases substantially. And so the objective for us is ultimately to make sure that we provide full employment levels across the Italian sites, and we do this in a short period of time as we – and so we can master. If you look at Page 12, the other way of looking at this is that we will have a set of products coming out of the EMEA region, which is complementary to what has been produced in NAFTA and LATAM and effectively it is – that is also complementary to the Chrysler requirements. And the whole – the objective here is to get to a 15% output, which will be capable of being used for export. And so there is one car for Jeep, which is currently not within the product lineup of Jeep in the U.S. market, it’s a smaller Jeep which has never been produced by Chrysler in the past and which will be industrialized in Europe, where we will have a large market presence obviously here in Europe, but it will also have some overflow into the U.S. market. In terms of architecture allocation, it simply says that we are going to try and shift higher value added production because in terms of the premium brands I’m talking about Maserati and Alfa Romeo into the Italian sites. We are going to try and use the more economical environment to try and run the smaller segments where margins always are thin. And obviously we are going to continue to work with the Italian government as we started doing about a month ago to try and improve the competitiveness of the system especially as it relates to an export function. So the bottom-line out of all this is that, we know we are going to lose roughly €700 million in 2012, we see that number somewhat improving by 2013. It’s going to take us a while before we get all these products up and running. Our forecast is it will take us 24 month to 36-months and so we are going to get to a break-even of this business by 2015, 2016. I’ve seen other people’s comments about where we’d be we think we can take European profitability. I make no comments about specific competitors. I think there is an embedded level of optimism that I’m not in a position to share with those forecast today. I think the market is going to be a lot tougher than all people think they are, I think we have taken a very prudent view as to what we think is achievable. And more importantly, I think we’ve taken a very prudent view of what we can finance out of the house given the ambitions that we have. A couple of comments about the architectures and the models that we are talking about here. All of the architectures that we need to get is done are in-house. And the majority of the powertrain, the base powertrain know-how that is required is within the house today. And so we don’t have to go shopping for missing pieces of the recipe going forward. I think we are now for a large portion of this portfolio offering we are effectively in execution mode and will be able to start rolling this out across the Italian plants, a piece at a time, but certainly within the next 12 months. That takes us to page 14, which is a summary of the group financial targets. I’ve seen some of the newswires suggest that we’re going to lose €19 billion by in terms of the plan. We’re going to lose what we’re going to lose, that’s not the issue, I mean when we came up with the plan back in 2010, the world looked completely different than it does today. I think we feel relatively comfortable that we’re going to be in by 2014, we’ll be about €100 million in revenue and that we’re going to be able to pick a 5% to 5.3% margin, what’s embedded in that number obviously is the fact that Europe will still be with a negative sign in front of it by 2014, because we cannot get to break-even by the period of time. There’s a huge amount of work that need to go on between now and then. A lot of it is not based on a recovery of the European market, but it’s based on our ability to execute our industrial plan and start leveraging our global organization to get distribution. We feel relatively comfortable that the EBITDA numbers and the CapEx numbers are doable, which are crucial, because of the fact that obviously we need to be able to finance this project, and this has been a big concern that we’ve all had and we’ve had to come to guess with in order to finalize our views. But if I can take you now to page 15, which is really the last slide that I have. It says that and I’m going to sound like an eternal pessimist. but I think EMEA, not only for the car market, but I think from the social and political standpoint, it’s going to provide, it’s going to continue to provide the great challenges for everyone for many years to come, I don’t think the solution is around the corner, certainly within the forecast period that we have pitched here, we’re going to be seeing a lot of developments, I think the industry is making the right moves in terms of dealing with some of the issues of capacity. I think the Fiat Chrysler decision not to take our capacity, but effectively retool or reorganization to deliver the product portfolio that I’ve indicated is the best economic alternative. I’ve run the numbers both ways. Fiat is comfortable that given the choices, this is the best economic choice, we can make. We do have all the necessary elements to execute, going to see, it goes anywhere brands to architectures as a part frame, and equally important I think we have the financial resources to execute it. My words of wisdom for anybody who is listening to this is that this is truly not for the same target, I mean this is, we have never shied away from our fight going back to 2004, we never shied away from the challenges of helping Chrysler that we established itself as a viable carmaker. I think we have to do one more time, and I think that we have to deal with EMEA in the way, which provides what I consider to be a permanent solution to EMEA was concrete, and I think that we have the wherewithal to accomplish and execute the plan. I think we have the leadership team in place to execute, equally important to the financial – as equal as important as the financial resources than the architectures are. So we’re looking at the future with some level of repetition and excitement I think that building things is a lot more exciting than retrenching into defeat. I think that we need to come out fighting I think we’ll do this in a way, which is a prudent and it doesn’t endanger the financial stability and integrity of the house. We have now done with our reflections and our analysis and I think the time has come for us to execute and so, on that basis. I turn it over to Marco and I guess we’ll be able to take questions as we go.
 : And obviously, this keen emphasis and keen interest that we have in LCVs need to be nurtured. So we need to do everything that we can to support our involvement with the Ducato. Ducato as you all know is now being industrialized in North America together with a version of Doblo will become an integral part of the offering in the United States, we need to continue to get better at this and we de-leverage our light commercial vehicle expertise on a global scale. The objectives of this relatively simple set of strategies is to ultimately fully utilize the EMEA production base, so that we can develop our global brands, Alfa Romeo, Maserati, Jeep and the Fiat 500 family. This is – I don’t call the Fiat 500 family a premium brand, but I think it can be distinctive enough in the mass-market to isolate itself from the traditional competition. But I think we need to learn how to build our future of these global brands and effectively access the EMEA production capabilities to satisfy the product development side of this. And so well, let’s says that we’re going to shift a significant portion of the product portfolio towards higher margin opportunities that totally in relation to the Alfa Romeo and the Maserati brands with some potential for Jeep to play in that area. We can move to Slide 11. Slide 11 is as detailed as we’re going to get up our product offering. We’re having a lot of internal discussions as to whether that should provide a higher level of granularity in terms of product offering and product launches. And because of the phenomenal amount of consternation that has been caused after we launched Fabbrica Italia back in 2000 and the inability of the system to react to our reaction to degrading demand function and the fact that that project that effectively have to be shelved because of change in market conditions, we have decided to follow what our competitors have done historically which is not to provide a lot of details and effectively execute on the development plans as they saw a fit. The chart on Page 11 effectively segregates by start of production base. A series of launches and being the legend is relatively clear, but it says these are the kind of products that will be coming down the pipe. The ones with an Italian flag are the ones that are going to be produced within the Italian context. And what they do at the end of the day is going to end up providing portfolio utilization of our blue-collar and white-collar force by 2015 and effectively deals with the issue of our European overhang. This says very clearly that as a result of all this, we will no longer have underutilized capacities in Europe. That doesn’t mean by the way that some of these plants will be operating a below sort of nameplate capacity because of the way in which we calculate the nameplate capacity is in terms of standard jobs of hours and the extend that we move towards the higher margin business, the numbers of hours associated with production of these vehicles increases substantially. And so the objective for us is ultimately to make sure that we provide full employment levels across the Italian sites, and we do this in a short period of time as we – and so we can master. If you look at Page 12, the other way of looking at this is that we will have a set of products coming out of the EMEA region, which is complementary to what has been produced in NAFTA and LATAM and effectively it is – that is also complementary to the Chrysler requirements. And the whole – the objective here is to get to a 15% output, which will be capable of being used for export. And so there is one car for Jeep, which is currently not within the product lineup of Jeep in the U.S. market, it’s a smaller Jeep which has never been produced by Chrysler in the past and which will be industrialized in Europe, where we will have a large market presence obviously here in Europe, but it will also have some overflow into the U.S. market. In terms of architecture allocation, it simply says that we are going to try and shift higher value added production because in terms of the premium brands I’m talking about Maserati and Alfa Romeo into the Italian sites. We are going to try and use the more economical environment to try and run the smaller segments where margins always are thin. And obviously we are going to continue to work with the Italian government as we started doing about a month ago to try and improve the competitiveness of the system especially as it relates to an export function. So the bottom-line out of all this is that, we know we are going to lose roughly €700 million in 2012, we see that number somewhat improving by 2013. It’s going to take us a while before we get all these products up and running. Our forecast is it will take us 24 month to 36-months and so we are going to get to a break-even of this business by 2015, 2016. I’ve seen other people’s comments about where we’d be we think we can take European profitability. I make no comments about specific competitors. I think there is an embedded level of optimism that I’m not in a position to share with those forecast today. I think the market is going to be a lot tougher than all people think they are, I think we have taken a very prudent view as to what we think is achievable. And more importantly, I think we’ve taken a very prudent view of what we can finance out of the house given the ambitions that we have. A couple of comments about the architectures and the models that we are talking about here. All of the architectures that we need to get is done are in-house. And the majority of the powertrain, the base powertrain know-how that is required is within the house today. And so we don’t have to go shopping for missing pieces of the recipe going forward. I think we are now for a large portion of this portfolio offering we are effectively in execution mode and will be able to start rolling this out across the Italian plants, a piece at a time, but certainly within the next 12 months. That takes us to page 14, which is a summary of the group financial targets. I’ve seen some of the newswires suggest that we’re going to lose €19 billion by in terms of the plan. We’re going to lose what we’re going to lose, that’s not the issue, I mean when we came up with the plan back in 2010, the world looked completely different than it does today. I think we feel relatively comfortable that we’re going to be in by 2014, we’ll be about €100 million in revenue and that we’re going to be able to pick a 5% to 5.3% margin, what’s embedded in that number obviously is the fact that Europe will still be with a negative sign in front of it by 2014, because we cannot get to break-even by the period of time. There’s a huge amount of work that need to go on between now and then. A lot of it is not based on a recovery of the European market, but it’s based on our ability to execute our industrial plan and start leveraging our global organization to get distribution. We feel relatively comfortable that the EBITDA numbers and the CapEx numbers are doable, which are crucial, because of the fact that obviously we need to be able to finance this project, and this has been a big concern that we’ve all had and we’ve had to come to guess with in order to finalize our views. But if I can take you now to page 15, which is really the last slide that I have. It says that and I’m going to sound like an eternal pessimist. but I think EMEA, not only for the car market, but I think from the social and political standpoint, it’s going to provide, it’s going to continue to provide the great challenges for everyone for many years to come, I don’t think the solution is around the corner, certainly within the forecast period that we have pitched here, we’re going to be seeing a lot of developments, I think the industry is making the right moves in terms of dealing with some of the issues of capacity. I think the Fiat Chrysler decision not to take our capacity, but effectively retool or reorganization to deliver the product portfolio that I’ve indicated is the best economic alternative. I’ve run the numbers both ways. Fiat is comfortable that given the choices, this is the best economic choice, we can make. We do have all the necessary elements to execute, going to see, it goes anywhere brands to architectures as a part frame, and equally important I think we have the financial resources to execute it. My words of wisdom for anybody who is listening to this is that this is truly not for the same target, I mean this is, we have never shied away from our fight going back to 2004, we never shied away from the challenges of helping Chrysler that we established itself as a viable carmaker. I think we have to do one more time, and I think that we have to deal with EMEA in the way, which provides what I consider to be a permanent solution to EMEA was concrete, and I think that we have the wherewithal to accomplish and execute the plan. I think we have the leadership team in place to execute, equally important to the financial – as equal as important as the financial resources than the architectures are. So we’re looking at the future with some level of repetition and excitement I think that building things is a lot more exciting than retrenching into defeat. I think that we need to come out fighting I think we’ll do this in a way, which is a prudent and it doesn’t endanger the financial stability and integrity of the house. We have now done with our reflections and our analysis and I think the time has come for us to execute and so, on that basis. I turn it over to Marco and I guess we’ll be able to take questions as we go.
Marco Auriemma: Thank you Mr. Marchionne. Richie now we are ready to start the Q&A session. Please go ahead.
Richard J. Hilgert – Morningstar Equity Research: Thanks good morning or good afternoon. Why not a combination of capacity rationalization and moving up scale, it’s seems as though the amount of over capacity that is in Europe today as well as the ability to be a flexible manufacturer and generate more than one particular model and more than one particular brand off of one assembly line should enable you to become much more profitable and much more efficient if you were to still reduce capacity, but yet still also emphasize the Alfa Romeo, Maserati and Jeep brands globally.
Sergio Marchionne: I got a couple of answers of for you, I mean the first one is, we probably already given we shut down a plant, announced a closure of the plant in 2009 which finally close this store in last year. Down to necessity, we’ve taken over 100,000 cars out of the system, out of the European system. But equally important, I think, the one other things I mentioned in my comments is that, one other things that will happen, for example is that, the plant in Mirafiori and the plant that we acquired out of bankruptcy from Bertone, which is the, the plant is currently manufacturing the two Maserati's will effectively be joined as being the premium end maker. And because of the nature of the production there, we are going to effectively never fully saturate, for example, the painting capacity of Mirafiori, but we will be able to saturate in time before a blue-collar complement because of the higher monument prevention has required in the production of these high-end cars. And so when I look at nameplate capacity and I look at output, for example, from a plant such as Mirafiori, the numbers will not match. And we are going to end up with an effective reduction in capacity by simply redirecting its use in a different way. And so I feel relatively comfortable that we’ve achieved what you suggested, we have just done it without taking a particular plant down. The other thing that you need to realize is that some of these plants need to run flat out. And so one of the first plants that will be the beneficiary of investments is the plant at Melfi because that plant is going to house the first application of the SUV/CUV world which we have now finalized the architecture for and that plant needs to, for economic reasons needs to run three shifts and they run, needs to run flat out. So we’ve been able to distinguish and carve out from a industrial landscape plants by location and effectively deal with our manpower utilization objectives by effectively allocating products and leveraging the know-how of the particular plants in the environments which refine them. It has been a very through analysis, and I think we feel comfortable that we have done as much as we can. There is very little by the way that I could have done more to the Italian system without building capacity somewhere else. The real issue is, I’m now out of, if I shutdown one more European plant, I would have to build the equivalent somewhere else, and that would have been a nonsensical decision. So to be honest the answer is no. I’d say economically unviable.
Richard J. Hilgert – Morningstar Equity Research: Okay. Then with regard to that the follow-on would be then, with the number of models that you do show coming out on slide 11, 2012, if you are still having losses in 2013. There is still cash burn you still don’t have access to the Chrysler cash. Where is the cash flow going to come from to generate the number of new models that you’ve got coming out in 14, 15 and 16?
Sergio Marchionne: given what I’ve told you about the volume ambitions by some of these nameplates the level of capital expenditures associated with the industrialization is substantially different than it is for a mass volume, for volume production. So the CapEx associated with these nameplates is lower, number one. Secondly, you cannot ignore the cash flow that’s coming out of Latin America, or of the other businesses that we currently manage in both Ferrari. And now as a result of the investments that we’ve made in Maserati, there will be cash generated going forward. So on the net-net basis, we should still be able to self-finance these capital expenditures. And that’s really been the heart of the analysis here, because we’ve had to satisfy ourselves that we could pay the bills, because in the absence of cash flow generation from the other side of the house. I think EMEA would not have been, the EMEA project would not have been doable. So there’s enough cash coming out of the stamping, don’t worry about it.
Richard J. Hilgert – Morningstar Equity Research: Okay. Production you had mentioned that next year, EMEA would probably lose less than what it’s losing this year. I’m assuming that the way that the unit volume is going to go is that in 2012, you’ve done more to adjust inventories and bring inventories down. So production has been lower than what it would have been if we were at in normalized run rate, where we’re at right now. So that would mean then that next year, production would be operating at a more normalized level considering the anemic demand that we’ve got. Is that where the year-over-year improvement comes from, or is there more head count reduction and that kind of thing going on, that gets you to the lower loss levels in 2013 even though you are not expecting an up tick in demand?
Richard K. Palmer: I’m Richard. Yeah, there is to some extent, a piece of it is that we have a full year for new Panda and all its variance. We have a full year for the 500. we will continue to, we will start to distribute a Jeep Liberty from the U.S. that we have product arriving as well to improve our performance in Europe even if the market is substantially flat.
Sergio Marchionne: I mean at the end of the day, if I can just help Richard, you’re dealing with an organization that is going to be fully engaged on the E&D side now that the product portfolio has been nailed down. And I think that we’ll begin the industrialization process of some of these plants relatively quickly. That by definition is going to give us an ability to start certainly absorbing some of these costs for purposes other than in sort of normal operating costs, a lot of the E&D associated with these activities are project related, because they are specific in nature. So be able to shelter some of the cost structure for the CapEx program, obviously from a cash back point of view, it’s relevant, because the cash is out. From a P&L standpoint, the loss itself which is the reference that we’ve made to, in terms of the forecast. It’s going to be partially offset by the capitalization of these costs. The machine needs to start operating relatively quickly, because the Grugliasco plant which makes Maserati will have a second car in production by the third quarter of 2013. So as we rollout these products and start pushing them out for international distribution, especially through NAFTA which is still today the single largest market for Maserati. We’re going to be seeing some of the numbers coming back in terms of blue collars to try and supplement the production requirements of that plant. So overall our view is that we will able to improve the cost position compared to 2012, but and that’s why I think we left ourselves some room by saying that, it’s going to be similar to 2012, it’s not slightly lower. I really wouldn’t count on a phenomenal improvement and performance in 2013.
Richard J. Hilgert – Morningstar Equity Research: Okay, very good. Thank you again for taking my questions.
Operator: We’ll now take our next question from Martino De Ambroggi of Equita. Please go ahead.
Martino De Ambroggi – Equita SIM SpA: Good afternoon, good morning, everybody. Three questions if I may, the first is on CapEx, because they were revised significantly higher than the previous plan and my expectations are, I presume it is mainly related to the European CapEx that you presented us, change in your strategy, but if you could elaborate a bit more on this issue just on the difference between the 6.2 billion and then 7.5 plus billion over the next three years. The second is on net debt, because I didn’t find in your guidance chart an indication concerning net debt, I don’t know, if Richard is willing to share with us some rough indication and the underline assumption on net working capital? And third, if I may, you already commented the trend next year in Europe, but what could be the ideal path, because we know the starting point and the arrival that just to have an idea what are the steps that you have in your ideal world so that the European and also LATAM? Thank you.
Sergio Marchionne: Richard, over to you.
Richard K. Palmer: So in terms of CapEx, clearly this is some extent we are recovering CapEx that we've been saving through the last two years in the European environment. So we've been conserving cash as we mentioned, and we basically waited for our opportunity also to have the platforms, the engines, and the brands plans that would justify the investment. So the CapEx isn't just Europe, we're looking at global product sales for global brands, and that will be financed by cash flows from the Fiat Chrysler organization as a whole. In terms of net debt, you're right it's not on the chart, most have been an oversized, and I’m joking aside, I think for next year we're going to have the Chrysler organization is going to continue to grow in line with its 2009 plan. So with that in mind, we will have over $1 billion of free cash flow generation from Chrysler. On the Fiat side, we would expect with the market being stable or slightly down, but for sure Italy shouldn't be down anywhere near as far as this year we would expect the working capital impact on the European side to be significantly lower. So overall, I would expect to be able to contain the net debt number to a similar level as that will be at the end of this year.
Martino De Ambroggi – Equita SIM SpA: Okay. I presuming going forward, going forward you expect an assumption starting from 2014 in terms of debt because of networking capital improvement, because of billion volumes?
Richard K. Palmer: As the market start to recover in the European side, the U.S. growth continues, we get products that we can sell internationally more effectively than what we have today, which we will get help from working capital. But I missed your last question.
Martino De Ambroggi – Equita SIM SpA: Yeah, just the ideal parts on Europe, we know $700 million losses as a starting point and we know the point of arrival of a break-even by 2015, ‘16. So we understood that there is a recovery in next year, but just to have an idea path that you have in mind for Europe and also LATAM taking to account, there is an introduction of new incentives in Brazil.
Sergio Marchionne: Let me tell you something, Richard and I spent all the time turning the slide, exactly a much level of detail. we’re going to give you every time, I look at competitive presentation. So I wonder why all this keen interest only comes up when Fiat and Chrysler is doing its Analyst Day call. You wouldn’t ask this to any other CEO anywhere, whether you can be given a yearly path to anything. But this is going to be a gradual recovery and the important thing to keep in mind is that all of these things are linked to product introductions.
.: so we’re going to be dragging alone some operating losses that are required in order to support the business in 2014 and ‘15. so I don't ask for a magic number it’s all built into the combined projections. so I think we have the level of prudence embedded in those forecasts that make us comfortable that we can beat the numbers. But I think we need to work on this, I mean don’t ask me for granularity, I don’t think it’s going to be helpful to you or to us.
Martino De Ambroggi – Equita SIM SpA: Okay, thank you. If I may just on LATAM, because of the introduction of new incentives, what the potential benefits we can expect from that?
Sergio Marchionne: An ideal world would take us to the 2010 and prior year environment.
Martino De Ambroggi – Equita SIM SpA: Got it, thank you guys.
Operator: We will now take our next question from Jochen Gehrke of Deutsche Bank. Please go ahead.
Jochen Gehrke – Deutsche Bank: Yes, good afternoon. Thanks for taking the question. Just on this idea to not have any capacity, I think there’s at least some similarities (inaudible) towards what’s presented in 2010 about you willing to grow the company. It was obviously with a different focus, but – and I think at that time, you said that there will be alternatives you would be thinking on. How should we look at this plant in case you are not seeing really any improvement collared in two years down the line, what is really the alternative for Fiat, and why is not that especially in the Italian asset base, your – as one of the previous commenter said, you are looking at a combination of actually trimming capacity down and hopefully improving pricing for some of your – some of your brands? And secondly, when you look at your competitors in the premium space, obviously everybody is targeting growth, now you are adding in that as well. Which regions do you think Alfa Romeo can really be competitive and deliver the level of growth that you are hoping to achieve in order to make that viable? Thank you.
Sergio Marchionne: By the way, I hate to tell you this, but I would be severely shocked if our competitors in the higher margin business did not target growth like we are targeting growth. I’ve been public on the fact that I think of the most fertile ground for us to occupy as premium car manufactures starts with NAFTA and it moves over to Asia and then moves its way back into Europe. Europe is – and I hate using the term, but it is shark infested waters and so you are bound to loose some parts of your anatomy if you try and compete and swim with people who have got better frame piece than I do. And so we are going to – we are going to try and make our entry in markets, which I think by nature are more willing to accept new introductions which effectively reflect high levels of technology and a great brand heritage and I think we can do this in North America, I think we can do this is APAC and on the basis of the strength we will make our way back into Europe. I think this is fundamentally a strategy that I firmly believe in, we’ve seen this, at least operate to some extent in – with Chrysler, where we were able to take market share down to about 5.5% at the end of 2000 and ’09 in order to cleanse our distribution practices and we built it to over 10% by the end of 2011. So I – we need to go to – in places where I think we are going to be received better than for example the German market, which will continue to be an incredibly competitive environment for us to play in initially. So that’s where it’s coming from.
Jochen Gehrke – Deutsche Bank: May I just ask, what’s the dollar assumption that you’re doing for trying to bring the Italian plants to a viable export business case and in that…
Sergio Marchionne: 125 to 130 and if your in excess of that I’ll address some swap plant for you in Florida to buy.
Jochen Gehrke – Deutsche Bank: That’s okay. And on that same note, when Alfa sales costs in the future in the U.S. most of your German competitors are turning us that the U.S. market is actually a lower priced market and adjusted from exit lease is a less profitable market. For Alfa, this would be the different…
Sergio Marchionne: No, it is correct and I think that we’re going to have to fight with them on the pricing schemes that they are in. When I look at the alternative in the mass market business, there is still marginal in excess of whatever been able to get mass produced car here in Europe.
Jochen Gehrke – Deutsche Bank: Okay.
Sergio Marchionne: Don’t be fool. And you shouldn’t be crying about the fact that our German premium end competitors are losing money in the U.S. they are not.
Jochen Gehrke – Deutsche Bank: Okay. Thank you.
Operator: We’ll now take our next question from Stephen Reitman of Société Générale. Please go ahead.
Stephen Reitman – Société Générale: Yes, good afternoon. First question in terms of the volumes you expect Alfa Romeo to grow at, it looks like it’s trending towards about 100,000 units this year. Can we assume that you are looking at the volumes you were targeting in previous plants are taking it up to about 300,000 units or so again. With Maserati, are you also looking to bring it more into sort of the more volume end of the premium market, so in other words five series E-class brands or so in orders and then increase in tens of thousand of units? And looking at Chrysler itself, you’ve seen the results today, yesterday 4.67 margin with a strong increase in shipments. We also Ford today reporting a 12% margin in North America, what do you think of the steps that or how far can Chrysler go to get closer to may be that kind of margin. Thank you.
Sergio Marchionne: Let me do the answers backward. Everybody in this business has dreams in night, and our dream is selling as many pickup trucks forward and then I think we can get to double digit in the same level of speed with which Ford can’t do. So, I like the pickup truck business a lot. I drool over it actually and that’s why I think there are number of products that Ram brand is launching in 2012 and 2013 which I think are going to create an unsurpassed fleet of pickup so that I think we’ll be serious contenders in the U.S. market for certainly better market share that we currently have. The issue of Maserati is an interesting question, because I think there is space obviously, which is currently being occupied exclusively by German producers that I think Maserati has access to. I think we'll be able to tell a lot from the introduction of the Maserati Quattroporte in terms of its performance against the relevant class. But certainly the segments that you made reference to are effectively of interest to us, and they are the ones that are going to be jointly developed by the (inaudible). On the first question, I'll pass it on to Richard. It was a numerical question, so I pass it on to Richard.
Richard K. Palmer: I think (inaudible) get to the volumes of the power plant and then we'll see.
Stephen Reitman – Société Générale: Thank you.
Operator: We will now take our next question from Stuart Pearson of Morgan Stanley. Please go ahead.
Stuart Pearson – Morgan Stanley: Hi, good afternoon. I had two or three questions left. Just firstly on the business plan and the change to the targets and particularly on the volume side, the volume coming out of the plants just before us, basic equivalent to the entire European franchises there I guess before the crisis. So presumably there are some comp sales where it doesn't seem going to the Chrysler side, I know you said Brazilian market hasn’t added up to what you’re expecting. So I wonder when we think about trading profit, what are your assumptions with the margins in LATAM going forward? How conservative you are now being on pricing in margin side in the Brazilian market?
Sergio Marchionne: Let me give you an answer to that one. I think in the medium-term they’re going to go below the double-digit market.
Stuart Pearson – Morgan Stanley: Medium-term you mean 2013 or 2014?
Sergio Marchionne: You define medium-term; right, I mean, I already go up to 2014. So it’s whether to pick 2014 or 2015, right.
Stuart Pearson – Morgan Stanley: Okay. And then carrying on from that, I mean are you expecting sort of recover thereafter?
Sergio Marchionne: Look, I mean we're going to increase capacity. We will have over million cars produced in Brazil by 2015, 2016. So the combination should yield margins that are certainly at the high-end of the single-digit and hopefully we will be able to go back to a double-digit environment. A lot of it depends on how comparative the marketplace is, but certainly if demand is there we’ll be able to reap the benefit.
Stuart Pearson – Morgan Stanley: Okay.
Sergio Marchionne: One of the things that people need to realize is, that we operate the largest car plant in the world out of (inaudible). I mean we make over 700,000 cars a year, either one facility is the car every 20 second that comes in assembly lines, so it's a unique phenomena and nobody has ever seen it. We have efficiencies of scale, which are unmatched and unparalleled in the world. I think we need to continue to nurture the environment and make sure that it delivers the highest possible earnings again.
Stuart Pearson – Morgan Stanley: Okay. Thank you. And the second question was just I mean following on from that whether you can give any more detail on splitting these targets I think in the past years you’ve given some sense was what’s coming from the Chrysler side, what’s from the Fiat side, particularly on the trading profit, but also on the CapEx side, is the – I mean, you touched on it earlier, but could we see Chrysler funding some of the CapEx for the Jeep vehicles to be produced out of Italy or that will come from the Fiat side?
Sergio Marchionne: Well, I mean, at the end of the day, if any brand belongs to the other organization and to the strength that in the case of Jeep for example, which is owned by Chrysler, if Fiat is manufacturing a car for them, the only requirement that it should really worry about is that the alternative production that is being produced, that is being provided by Fiat is available at least $1 cheaper than Jeep could do it on its own. And so as long as that benchmark standard is met, then the financing have to follow right, I mean if you are willing to fund it on your own terms, then you should be able to fund it for somebody else. So the possibility of that happening is that will be part of the plan, and I think it’s something that we need to continue to develop especially if this is being done exclusively for the benefit of the other.
Stuart Pearson – Morgan Stanley: Okay. And presumably whoever is providing the CapEx will earn the margin on that production as well?
Sergio Marchionne: Yeah, obviously. One of the benefits have the association with Fiat does bring is the multiple utilization of the same architecture and the same plant. So although we’re going to be making a smaller Jeep, we’re also going to be making a CUV for Fiat on that architecture and that would allow Jeep to share the cost of the investment, which will not otherwise be available to Jeep on its own. I mean this is one of the benefits of the aggregation, right.
Stuart Pearson – Morgan Stanley: Okay. And on the aggregation, just a final question, I mean this is about heavier CapEx plan. how does that it sort of change the process and the timeline for stepping up the partnership with Chrysler?
Sergio Marchionne: Yeah. I think it’s fair to say, if I were to develop, think about your cash utilization giving our plant here. there is no room left for the acquisition on the minority interest in Chrysler.
Stuart Pearson – Morgan Stanley: Okay. And would you consider alternative ways to raise capital, so asset disposals et cetera to make that happen or is it a case of waiting now?
Sergio Marchionne: I think everything is on the table, anything which is value accretive and allows us to execute on this plan is on the table.
Stuart Pearson – Morgan Stanley: Okay. Thank you.
Operator: We will now take our next question from Kristina Church of Barclays. Please go ahead.
Kristina Church – Barclays Capital: Hi, thank you for taking my questions. I just got two remaining questions. Firstly on the pension, could you give us a little bit of advice on what we should expect to see for the pension liabilities going forward under the new IAS-19 accounting rules? And secondly, I was just wondering how the Giulietta has been performing against your plan and given that the new targets are very much focused on picking upscale, how has that the Alfa Romeo brand been performing in 2012 versus your expectations, and what significant changes do you expect going forward?
Richard K. Palmer: So the consumers are still working through the Alfa’s 19 impact, we expect that to be an impact in terms of the income statement about an operating income of €100 million to €200 million, compared to the old accounting standards. And also a similar impact, also in interest charges for the unfunded part of the liability.
Kristina Church – Barclays Capital: Okay, thank you.
Richard K. Palmer: Sorry, could you repeat your second question on this, I missed it.
Kristina Church – Barclays Capital: The second question was just regarding Alfa Romeo and Giulietta, how the car has been performing this year?
Richard K. Palmer: It’s been performing very well and gaining share in each city, but one of the issues we’re talking about without was we need to expand this brand outside of its traditional markets and Giulietta is a great vehicles. But we need to support with other vehicles to make more effective commercial process.
Sergio Marchionne: Yeah. by the way, I just do add to what Richard is saying, that vehicle in that segment has become incredibly price sensitive. I think we have seen a lot of, what I would call unnatural activity from our competitors in the segment, and so we’re responding without being foolish. But it is being occupied currently, especially in some of the volumes that we’re seeing the market by very unrealistic pricing and we will not follow, I think we need to preserve some level of integrity of the brand equity associated with Alfa Romeo and some areas that we will not go.
Kristina Church – Barclays Capital: Thank you.
Operator: We will now take our next question from Charles Winston of Redburn Partners. Please go ahead.
Charles Winston – Redburn Partners: Yeah. Hi, good evening and good afternoon. Just two questions from me, the first one, I noticed that the growth cash holding in Fiat fell between the second quarter and the third quarter suggesting that perhaps there’s a certain amount of debts, which matured, which we didn’t refinance, that’s a bit of change of practice compared to the past couple of quarters. Should I read anything into that? is that a meaningful to planning growth cash or what do we see that figure go back up by the end of the year? and then the second question, I just need to come back to you about this whole issue of not requiring to disclose the capacity in Europe as part of the plan. just maybe, I don’t understand it properly, but as you say yourself in your presentation, 45% technical capacity utilization in the EMEA region is here, whatever you do with Maserati or Alfa or anything else and however intelligent that you allocate those products to sort of the more labor intensive facilities you have. Surely, you’re not going to make much of a dent in terms of the overall utilization levels and your starting point is any 45%. I’m sort of struggling to see why you made the assertion that there’s most capacity place is required? Thank you.
Sergio Marchionne: I think you need to understand how the capacity utilization is determined. Capacity utilization is based on the presumed jobs per hour for every vehicle that comes across the line. There are some cars that are being manufactured in less than 25 hours, 20 man hours per car; the others would take 60, depending on the nature of the vehicle itself. Capacity utilization is the function of what plant produces, I can tell you right now that if you were to abuse that standard, if you were to use the traditional Fiat standard on the Ferrari plant, you get a 10% utilization number in our technical basis, and actually the 10% for Ferrari margins everyday. You got to be very, very careful when you do these calculations. It’s based on the product portfolio that you run through the machines. The limiting factor by the way for your information is also the paint capacity of the system, which is really the bottleneck for a lot of these installations. We have adequate paint capacity in a lot of our structure to deal with a variety of product portfolios. And I don’t have to invest in the paying capacity resistant, which makes a lot of that capacity valuable, because I can tell you, we’re running through huge issues in the U.S. actually across NAFTA what we’ve ended up effectively replacing a large portion of our paint capacity across our plants. So the issue is really product portfolio dependent, and we feel relatively comfortable, that’s why I made reference to the fact that we’re really going to be fully utilizing the workforce associated with those plants. And that EMEA remains the primary objective going forward.
Charles Winston – Redburn Partners: And just following up on that vehicle, is that retaining exercise be required? I don’t know, but I would imagine there may will be, in these more labor intensive vehicles at the higher degree of labor skill required compared to a mass-market car that takes less than 20 man hours to produce?
Sergio Marchionne: The answer is yes. but we’re lucky enough and that’s why we’ve singled up both the Kragujevac and the (inaudible) plant was being capable of doing that, we have especially in this region. We have all the requisite skills to get that done.
Charles Winston – Redburn Partners: Okay. And on the pre-financing?
Richard K. Palmer: Yeah. on the cash issue, as we discussed that during the year, we basically pre-financed the number of maturities this year, as the market was available. and we will continue to do so going forward. So we would like to bring that number back up as we pre-finance further maturities next year.
Charles Winston – Redburn Partners: First should head back up towards 10 by the year-end probably?
Richard K. Palmer: I wouldn’t say by year-end, but I would say that we’ll continue to pre-finance maturities as when the market is available. So it will go back up, but not by year-end, I don’t think.
Charles Winston – Redburn Partners: Okay, clear. Thank you.
Sergio Marchionne: The best answer is that this is the best location. normally, we would have done this out there.
Charles Winston – Redburn Partners: Okay.
Operator: Our final question comes from Philippe Houchois of UBS. Please go ahead.
Philippe J. Houchois – UBS: Yes, thank you, good afternoon. A couple of questions still, one is Richard on the IAS 19. can you quantify that the balance sheet impact that would assume it’s like €2 billion to €3 billion negative impact on your book equity, tell me some more else there? Can you remind us Mr. Marchionne, what debug can do from next year to request an IPO of Chrysler and what you can do to agree and not agree? And then finally on the – your whole presentation about what you’re trying to do with share going forward et cetera, somewhat like you’re going back in-house. Are you going to stop being the disruptive kind of the change in Europe and more recently, were reports that you were talking to Opel and (inaudible) about doing a combination et cetera? Are you going to stop that as you’ve given up on those opportunities or you’re going to be really focusing on the issues and then wait if the opportunity is coming?
Richard K. Palmer: We’re referring to the Bloomberg story that came out earlier?
Philippe J. Houchois – UBS: Yeah. All those noise we hear all the time.
Richard K. Palmer: Yeah. Turn down the volume of the radio. I mean, I wasn’t the guy talking to Opel, by the way about anything.
Philippe J. Houchois – UBS: But you have a number of times in the past, that’s why I’m just asking you.
Richard K. Palmer: By the way, it’s public information there are pictures of me and Chancellor Merkel together. So I did speak to the German government and to General Motors back in 2008, 2009.
Philippe J. Houchois – UBS: Sure.
Richard K. Palmer: About doing something with them, but we have not had conversation since, by the way, our relationship with Peugeot Citroen is a good relationship. we continue to operate together well plant in their locations where we meet both the executives of Peugeot Citroen and the Peugeot family with when we have had historical strong tie. So I don’t read anything in gross having across here, the bar. There are other things in combinations and mergers that people talked a lot from time to time. As far as the issue on the IPO of Chrysler, we don’t request the registration starting January of 2013, and once registration is in place, then I think they could ask that we take it public, then we (inaudible) desire.
Philippe J. Houchois – UBS: Okay. It is that you don’t have an option to block. it is normal process in that part?
Richard K. Palmer: No.
Sergio Marchionne: But it doesn’t concern me, I mean I think the important thing is that we need to be able to preserve our call option rates.
Philippe J. Houchois – UBS: Yeah.
Sergio Marchionne: Up to 40% of their holding, I think that’s put the couple of issues to that quickly, you’d like the acquisition of the first junk, which hopefully will be adjudicated with the speed of light, which is my sincere hope.
Philippe J. Houchois – UBS: You think that will be done before the year-end?
Richard K. Palmer: Year-end…
Sergio Marchionne: As Richard said, it’s kind of hard to tell, another one of us knows how these cars work with, our indication from our professional advisors are that we should be able to get an answer by the end of the year.
Philippe J. Houchois – UBS: Okay. And I guess, my team – am I wrong, there’s a multibillion dollar impact on equity and no cash, but just...
Sergio Marchionne: You’re not wrong.
Philippe J. Houchois – UBS: Yeah.
Sergio Marchionne: But I have precise number for you, I’ll give you an update in the end of fourth quarter, but you’re not wrong.
Philippe J. Houchois – UBS: Okay, thank you.
Operator: That will conclude the question-and-answer session. I would like to turn the call back over to Mr. Marco Auriemma for any additional or closing remarks.
Marco Auriemma: Thank you, Richie. We would like to thank everyone for joining today’s call. We’ll be communicating shortly. Bye.